Ignacio Sison: Good morning to all. Thank you for joining Del Monte Pacific's results briefing for the first quarter ending July of fiscal year 2026. Representing Del Monte in this call are Cito Alejandro, Chief Operating Officer of Del Monte Pacific and President and COO of Del Monte Philippines; Parag Sachdeva, CFO of DMPL and DMPI; and I'm Iggy Sison, Chief Corporate Officer of DMPL. This morning, we'll go through some financial and market slides just to provide an overview and then proceed to the Q&A. Parag Sachdeva will now present our results followed by Cito Alejandro.
Parag Sachdeva: Good morning, everybody. Sharing with you on this slide, the key financial highlights. DMPL did sustain its growth trajectory in first quarter of 2026 following a strong Q4 performance in last fiscal year. Our sales of $203.7 million was up 13%, driven by both the domestic business in Philippines as well as international markets. Our net profit at $5.5 million increased from $0.4 million, driven by improved sales and margins. I would also like to highlight that effective 1st May 2025, the company's U.S. business has been deconsolidated from DMPL. Next slide. In terms of strategic priorities and outlook, very consistent with last quarter. DMPL remains focused on growing the Asian operations to drive long-term growth and profitability. DMPL's subsidiary, DMPI, continues to perform well with resilient consumer demand in both domestic and international business and supported by a strong and stable supply chain. The immediate key priorities include reinforcing market leadership in beverage, culinary and packaged fruit that constitutes our core business in Philippines. And we continue launching new products in adjacent categories to broaden the consumer base. From a channel perspective, convenience stores, away-from-home drug stores and schools continue to provide avenues of accelerated growth. On the international side, we continue to maintain leadership in fresh MD2 pineapples across North Asia. Operations also has been seeing very favorable trajectory and that's also reflected in our gross margins, which we will dwell into in a minute. And cost management-wise, the focus continues to proactively reduce waste, manage inventory and lower inventory write-offs. Capital structure, which is one of the biggest priorities for us. We continue working on all avenues to raise equity to lower leverage and offset the NPLs capital deficit resulting from U.S. impairments in fiscal 2025. And barring unforeseen circumstances, the company does expect to be profitable in fiscal 2026. Next slide. Now a deep dive into our first quarter results. Our turnover grew at $203.7 million grew 12.9% with a very good mix on both pricing as well as volume. From our Philippines market perspective, we achieved a double-digit growth in local currency, and that was equally helped by pricing, which was in line with inflation and wall mix, which grew at 7%. When it comes to international business, overall, we saw a growth of 6.4%, driven mainly by fresh, which grew double digit at 10.2%. In terms of our gross profit, the growth was significant at 32.8%, driven by improved pricing across both international business as well as Philippines, increased volume. We also saw favorability in mix. Let me give you an example of that. Our fresh business had higher sales of Deluxe variety, which obviously augurs well for us from a gross profit and margin perspective. And similarly, we saw sales of our key core businesses in -- in Philippines market to grow that have higher margins. On the plantation side and calorie side, we saw improvement in cost. That was driven by a favorable trend on processed pineapple productivity, which was at 150 metric tons per hectare. And more importantly, the trajectory of this has continued to improve in line with our previous commitments that Cito had outlined. So with that, gross margin driven by pricing, favorable mix and improved productivity across operations has meant that we improved by 490 basis points in the first quarter. EBITDA in line with gross margin improved and despite an unfavorable impact from unrealized FX loss of close to $5 million that has been booked in Q1, we achieved an 11% improvement in EBITDA. The unrealized FX impact was mainly due to devaluation of peso at the end of July, where it spiked to 58.2 versus average levels of 57. Net profit driven by operating profits, EBITDA at 5.5 million was significantly higher than last year. And debt also at $1.02 billion was lower by 5% as we continue to generate internal cash and stretch our working capital to lower our leverage. In terms of net debt to EBITDA, there was an improvement of 2.6x and cash flow from operations, as I mentioned before, driven by profitability and continued focus on working capital has improved significantly at $76.8 million. With that, let me hand it over to Cito and Iggy to cover the balance of the presentation.
Luis Alejandro: Good morning, everyone, and welcome to this investor meeting. I shall now talk about the Philippines. First of all, the NPL sales, 13% up versus a year ago at $204 million. Philippines sales at $88.4 million, 10% in peso terms and 15% up in USD terms. We continue to realize growth in the Philippines, driven by strong demand across our core categories. And if you were to summarize our growth strategy, it would be twofold. Number one is market share grab, particularly in categories with deep competition. And the second is increased usage of the product among current as well as tapping into new users. In the beverage category, we continue to strengthen leadership by sustaining relevance with health-conscious consumers. 100% pineapple juice led by Heart Smart, reinforcing juice as part of a heart healthy daily habit. Also functional benefits such as digestive wellness with fiber enrich and immunity building with the 100% ACE juice. Innovation also took a part in our growth with the successful launch of our Fruity Zing and Fit 'n Right Green Apple, which expanded the company's footprint in the ready-to-drink PET segment, targeting younger lifestyle-driven consumers. In culinary, we drove penetration through -- by positioning most of our culinary products as a nutrient-rich ingredient with Lycopene, vitamins A and C and iodine to improve family nutrition. This was further supported by our nationwide Nutrilicious advocacy, which aligned the brand with the national agenda of addressing malnutrition by promoting nutritious, delicious and affordable meals for everyday consumption. In packaged foods, we are seeing traction in our sales and marketing efforts to extend usage beyond holiday occasions into year-round celebrations and everyday dessert. At the same time, nutrition-led campaigns expanded the role of pineapple as a super food for everyday cooking, highlighting its phytonutrients that support immunity when paired with proper diet and exercise, okay? Let's now go to the international business. Okay. Sales in International grew by 6% to $98 million. This was primarily driven by higher fresh pineapple sales, particularly in China and Japan, supported by improved product mix and better pricing. Our premium S&W Deluxe pineapple, which is now our hero product, if I may say so, continues to grow and now accounts for a higher share of the company's exported fresh pineapple. We have also introduced and are seeing some increased traction in our fresh cut-packs in China to further boost demand for the company's pineapple product. Pleased to note that S&W was awarded Supplier of the Year by Good me, China's biggest food chain with more than 10,000 stores across the country. And in Japan, fresh pineapple sales increased by 20% due to higher demand of fresh cut in retail plus the entry of the S&W Deluxe pineapple with a new customer. In summary, if I were to look at the market share of fresh in North Asia, we now have a commanding leadership share of 50% in North Asia. And this is driven by our leadership share of 72% in China, leadership share of 42% in Korea and our strong #2 position in Japan at 23%. So that about sums up our -- the status of our business, both in the Philippines and international. So Iggy, we will now open the floor to questions.
Ignacio Sison: And Jennifer Luy will moderate the Q&A. Thank you, Cito and Parag.
Jennifer Luy: [Operator Instructions] We have some questions sent in advance. So I will start with these questions first. The first question is gross margin increased significantly to 32.5%. Will this be the norm for the next 3 quarters? Or is it just an extraordinary instance?
Parag Sachdeva: So thank you for the question. We expect the margins to sustain. And we are seeing the same trajectory, both from a revenue perspective as well as costs are also trending the same way, including commodities. So we expect the margin improvement to be sustainable in the coming quarters.
Jennifer Luy: Thank you, Parag. Related to that, what kind of savings or cost reductions have been achieved at the DMPL holding level given only one remaining operating subsidiary?
Parag Sachdeva: So we have a clear outlook and our focus, as you know, is mainly to optimize our leverage. That's what we are focused on, and that's reflected in our debt reduction. That's the majority of the cost that we have at the holding company level. And as you can see, over the last 12 to 18 months, the parent debt has considerably reduced, thereby having a lower interest cost at the parent level. So that's what our focus is when it comes to our holding company financials.
Jennifer Luy: Thank you, Parag. For Cito, how sustainable is the growth in international sales?
Luis Alejandro: It is fairly sustainable, if I may just summarize it. There are 2 components in international sales. The first component is the processed pineapple products, mostly canned products. That part of the business is very much sustainable because we anticipate an undersupply of the market in the next 3 to 4 years. And this is primarily driven by the lower tonnage -- pineapple tonnage right now in Thailand. And as you know, in Thailand, the farmers have shifted to other commodities where they would be more profitable and earn money. And more than 10 calories in Thailand have already closed down. So that is a critical development for us as far as sustaining our package business is concerned because in the past, Thailand was the #1 country, not just the #1 competitor, but the #1 country in pineapple tonnage. So that is the part of the packaged pineapple business, where there are really just 2 big players in packaged pineapple in Asia, meaning Del Monte Philippines or PhilPaC, which is our export operation and also the other big plantation in Indonesia, PT Great Giant. So that is going to be sustainable. The second part of the business in international is the fresh business. Even though we are seeing a lot of higher market share in the categories in the countries we compete in we have not yet exhausted the demand. As you know, the health consciousness of global consumers have actually escalated. In fact, even in other countries, you will see that more of the packaged fresh pineapple are the ones that are growing faster. And this is the same trend that we are seeing in Asia Pacific. From a fresh pineapple standpoint, we're not yet maxed out in China. We have not yet exhausted Tier 2 and even Tier 3, Tier 3 cities, we're not yet there. We're just in the core and entering the Tier 2 cities. And that is going to be our greatest driver. As far as competition is concerned, there are really 2. One is Fresh Del Monte, and they have a farm actually in Mindanao, but our tonnage and our spans of control is bigger. And the other one, of course, is Dole, which is predominantly focused on the Japan and the Korea market. And we are also selling in Japan and Korea. Beyond that, we also have shipments to the Middle East. So from a global or region demand standpoint, it is solid and growing. From a supply standpoint, it is undersupplied in packaged pineapple. But as far as fresh pineapple is concerned, we are the largest actually in Asia right now. We are ahead of Dole and Dole is the other player and other small players as far as hectarage and total shipments are concerned.
Jennifer Luy: Thank you, Cito. Next question is with the deconsolidation of DMFI, does it mean DMPL will get nothing from this investment?
Parag Sachdeva: That's what we are -- what we have assumed in our fiscal '25 results. We have taken a view that considering continued losses that have been incurred in fiscal '24, '25 and a significant increase in financing costs. Parent has decided not to invest. And accordingly, we have impaired our investments to 0 in our fiscal '25 results that have been recently finalized and were also shared with you on an unaudited basis at the end of July.
Jennifer Luy: Thank you, Parag. Still on the DMFI, since DMPL still has significant ownership, what are the lenders, bondholders or the new Board doing with the DMFI? Were they able to turn things around or find a seller?
Parag Sachdeva: As we know, the selling process is underway and is expected to conclude by November or December of 2025. So we will have to wait and see as to how the final process concludes. They have appointed -- the Board has appointed an investment banker to manage the process, and we continue to get updates through our Board members from time to time. In terms of performance, as we understand, the Board is focused on managing and optimizing cost, working capital and also focusing on growing the branded business and further downsizing any private label or nonstrategic businesses.
Jennifer Luy: Thank you, Parag. On our loans of around $1 billion, what is the average lending rate? And how much will a 1% drop in interest rate affect the cost this year? And are the loans in U.S. dollar or in peso?
Parag Sachdeva: Thank you, Jen. Most of our loans are in U.S. dollars. The split between U.S. dollar-denominated and peso-denominated loans would be around 80-20. That's the rough split. In terms of our average cost of borrowing, it's around 6.5% to 7%. That's what we are able to secure on our borrowings and 1% drop in interest rate would mean a reduction in interest expense by around $7 million to $8 million annually.
Jennifer Luy: Thank you, Parag. Okay. Is there any update on capital raising activities such as the IPO of DMPI? Any time line for these activities?
Parag Sachdeva: The process has been initiated by our DMPL and DMPI Boards. And clearly, this is a big priority for us. In terms of specifics due to confidentiality reasons, it would be difficult to share more details at this stage.
Jennifer Luy: Thank you, Parag. From the internal cash flows, how much of our debt can be paid this FY '26?
Parag Sachdeva: As we have demonstrated, our debt continues to be lowered. We were at $1.04 billion at the end of April. We are down to $1.02 billion to $1.03 billion. So we continue to lower our debt. But at this point of time, the main avenue of addressing capital -- addressing leverage would be some sort of an equity injection or a selected sale of assets. So that would be the main focus because there is a limit to which we can stretch working capital across the board, which we have done very well in the last 2 to 3 years. So main source would be of leverage reduction would come from equity raise, which we are prioritizing.
Jennifer Luy: Thank you for the clarification, Parag. Our last question is, how much dividend is paid to the holding company to pare down the higher cost debt at the holding company last year? Is there any dividend payment policy for your subsidiary?
Parag Sachdeva: Yes. In the last couple of years, our focus has been to upstream dividend from DMPI to DMPL so that the parent could continue meeting its obligations on a timely basis, which we have delivered on. Overall, the dividend payout has been between 75% to 100%. That's what we have followed and we think that would pretty much continue until we change the capital structure in the coming quarters or coming year.
Jennifer Luy: Thank you, Parag. We don't have any more questions. So in case the audience has questions that they want to send, you can e-mail to me at jluy@delmontepacific.com, j-l-u-y@delmontepacific.com.
Ignacio Sison: So thank you for [ joining ] our results briefing.